Operator: Good morning and welcome to the Spartan Motor’s Third Quarter 2012 Earnings Results Conference Call. All participants will be in a listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to turn the conference over to Greg Salchow, Director of Investor Relations and Treasury. Please go ahead.
Greg Salchow: Thank you, Laura. This is Greg Salchow. I am pleased to be joined on the call today by John Sztykiel, the President and CEO of Spartan Motors and Joe Nowicki, the Chief Financial Officer. Thank you for joining us today. I know a number of folks have been impacted by Hurricane Sandy. We've heard from a few folks who have come through the storm well and we understand this is impacting everybody, so we certainly appreciate your attention and effort to join us. I assume everybody has now seen the earnings release that came out this morning. Before we start the call, I need to inform you that certain statements we’ll make today during the conference call which may include management’s current outlook, viewpoint, predictions and projections regarding Spartan Motors and its operations may be considered forward-looking statements under the Securities Laws. I must caution you that, as with any prediction or projection, there are a number of factors that could cause Spartan’s results to differ materially. All known risks our management believes could materially affect the results are identified in our Form’s 10-K and 10-Q filed with the SEC. However, there could be other risks we face. As usual, we will ask you to limit yourself to one question and a follow-up and after those have been answered, please rejoin the queue if you have additional questions. Now I would like to turn the call over to John Sztykiel for his opening remarks.
John Sztykiel: All right Greg, thank you very much. Good morning everyone and thank you for joining us on Spartan Motors third quarter 2012 conference call. We really appreciate the efforts of those of you in the storm affected areas are making to join us today. All of us at Spartan are thinking of you and hoping you are all spared any serious damage or destruction due to this horrendous storm. Our latest quarterly results show that Spartan continued its strength of operating profitably excluding restructuring items, despite a challenging environment. Spartan posted adjusted net income of $0.02 per share in the quarter ended September 30, 2012 and ended the quarter with a total order backlog of $168.3 million, an increase of 18% from the third quarter of 2011, a major step in the right direction. We continue to make progress in moving Spartan forward during the third quarter of 2012. We are focused on executing the plan and accomplish the following: We relocated production of the Reach commercial van to Charlotte, Michigan, from Wakarusa, Indiana. During the third quarter, we shipped Reach commercial vans. We also received follow-on orders from major customers, UPS and FedEx for Reach products. The product looks great and will be shipped on time. The Reach is also performing very well in the field with positive customer feedback. We grew order backlog in Emergency Response and Specialty Vehicles, particularly RV chassis compared to third quarter of 2011. We are on schedule with our move of Utilimaster to Bristol, Indiana, and expect to begin the physical relocation of equipment and production during the fourth quarter of 2012. As you will recall from our previous conference calls, we expect the move to Bristol to result in annualized cost savings of $4 million when fully implemented. Now turning to our segment results for the quarter. Our strategy of blended diversified growth continue to pay off during the third quarter as our Emergency Response and Specialty Vehicle segments posted year-over-year revenue growth that partially offset a decline in delivery and service vehicles. Our Emergency Response Chassis business had a very good quarter with revenue increasing 23% to $29.1 million from $23.6 million versus a year ago. The growth in ER Chassis was due to enhanced product offerings, a gradually recovering market and the strength of the Spartan brand. During the quarter, we shipped the first six of our Spartan Advanced Protection System equipped chassis; Spartan APS as we call it, which features an advanced airbag safety system. Safety is a huge concern in Emergency Response and Spartan APS is a market redefining innovation. We are at least three to four years ahead of the competition. In fact, APS is being quoted on approximately 70% of all quotes for Spartan Emergency Response chassis. Switching over to the Emergency Response Vehicle Group; the Emergency Response Vehicle Group posted revenue of $10.8 million which was up 8% from $11.8 million in the third quarter of 2011. Our move during the second quarter to brand all of our Emergency Response businesses under the Spartan brand contributed in part to the growth and backlog. Rebranding Crimson and Classic Fire at Spartan ERV presented a single strong unified brand to the marketplace. An example of this brand strength, the backlog of Classic ER bodies is up 240% since we purchased Classic Fire in April of 2011. ERV was negatively affected, impacted by some commercial chassis availability issues that in turn delayed production and disrupted production schedules during the third quarter. While ERV reached a record run rate for production, we were still not able to have all the vehicles completed, inspected by the customer and shift prior to September 30th. This was a major factor behind the decrease in revenues and the increase in inventory during the third quarter. Despite the difficulties encountered, a combined Emergency Response backlog of $85.9 million at September 30, 2012 compared to $74.2 million a year ago is an increase of approximately 16%. We are simply outperforming the Emergency Response industry, gaining share and expect that trend to continue in 2013 as we introduce two to four market redefining products. Now switching over to Specialty Vehicles which includes our Recreational Vehicle Chassis business, RV’s as we call it. This posted revenue growth for the third quarter of 2012 sales for the Specialty Vehicle segment were up 0.8% year-over-year to $23.9 million from $23.8 million. RV and bus chassis sales rose 20.9% to $17.1 million from $14.2 million and this helped offset the third quarter decline in Defense revenue which was at $2.9 million. RV Chassis orders have continued to grow with order backlog as of September 30, 2012 of $12.9 million, the highest level since the third quarter of 2011, when the backlog stood at $11.6 million. Our RV Chassis business has improved due to the strength of the Spartan brand in the 400 to 600 horsepower diesel segment and the ride handling benefits of a Spartan chassis. The overall RV market continues to grow, especially in the smaller vehicle segments. According to the Recreational Vehicle Industry Association the RV market improved in September, with total shipments for the month increasing 12.7% over September of 2011. We will be showing several new concept chassis to address the smaller RV segments, the growth segments November 27 through the November 30 this coming month or I should say the coming month of November at the RVIA Industry Trade Show. We are excited to see the response as Spartan has a great brand name, but we have not had the product in the growth areas over the past 12 to 18 months that will change in 2013. Moving over to delivery and service vehicle, they posted sales of $49 million in the third quarter of 2012 versus $61.2 million in the third quarter of 2011. The third quarter of 2011 was unusually strong due to a large walk-in van order to a major customer and the contribution of aftermarket parts in field service solutions. The sales decline in the third quarter of 2012 was due to lower sales in aftermarket parts and accessories which declined to $8.7 million from $19.1 million a year ago. Sales of aftermarket parts in the third quarter of 2012 were adversely affected by the end of a major program in the second quarter of 2012, which we mentioned to you in prior quarterly calls. Vehicle sales in the third quarter of 2012 were also negatively impacted by certain material shortages that affected walk-in van production. Although truck body production increased in the third quarter, it only partially offset the impact of walk-in van production. We expect production of walk-in vans to be made up during the fourth quarter of 2012, and our outlook for the delivery and service vehicle segment continues to be positive, as shown by its order backlog of $65 million at the end of third quarter of 2012. Again, this is up 20% from a year ago. What's interesting is you look at all three market segments; the backlogs of emergency response, delivery and service and specialty chassis and vehicles are all up versus 12 months ago, a major step in our momentum us moving forward. During the third quarter of 2012 we shipped a 182 Reach vans and are currently finishing a 150 unit order for UPS that was shipped during the fourth quarter of 2012. Later in the fourth quarter we expect to ship another 100 units to FedEx. Now let's move over to Utilimaster’s relocation to Bristol, Indiana that remains on track and on schedule. We plan to begin the moving process during the fourth quarter and to complete the process by mid 2013. We believe Utilimaster has outstanding growth prospects, as home delivered and internet shopping continued to grow. FedEx recently stated it expects double-digit growth in domestic shipments again this holiday season, estimating there will be 13% more home deliveries in 2012 than during the 2011 holiday season. We foresee the delivery of small services to be another area of outstanding growth potential in the coming years, mobile service delivery as we call it, such as food trucks or mobile retail are just two areas of potential growth that lie in between internet shopping and fixed location goods and services. The main points in summary to take away from this morning's call are that despite a challenging environment and a comparison to a strong quarter of 2011, our plan to diversify our revenue base is working. Plus our focus on operational performance continues to drive quarterly adjusted operating profits, despite all the domestic and global challenges. Now, I’ll turn over to Joe, who will provide a more detail review of Spartan’s third quarter 2012 financial results. Joe?
Joe Nowicki: Thank you John and thanks to everyone for joining us on today’s call. Before we get in to the results for the third quarter, I want to draw your attention to our new segment reporting format. Starting with this quarter, we're reporting our financial results in three segments. Emergency Response Vehicles, Specialty Vehicles and Delivery and Service Vehicles. This change reflects how we now manage our business internally, which is separating our Emergency Response businesses from the more general category of Specialty Vehicles. We believe this change provides more useful information to our shareholders. I think it's a clear picture of our business. Looking at our financial results for the third quarter of 2012, as John mentioned, we faced a challenging comparison to the third quarter of 2011. Our revenue for the third quarter of 2012 was down 6% from a year ago to a 112.9 million. There were few major factors that caused last year’s third quarter results to exceptionally strong, two of which were 2.9 million in defense revenue as well as a very strong performance from Utilimaster in the after market margin accessories business. Partially offsetting those factors was growth this year in both emergency response and specialty vehicles sale. As John mentioned in his remarks sales at both our Emergency Response Vehicles and Utilimaster businesses were negatively impacted by factors outside of our direct control. Manufacturers of certain commercial chassis are not able to deliver those chassis to start an ERV in time till all the fire trucks would be completed and inspected and shipped prior to September 30; a timing issue. This was a major factor behind the 6.6 million increases in Emergency Response inventory during the quarter as well. Utilimaster faced material shortages during the quarter that also delayed completion and shipment of a number of walk-in vans. This was a factor that also led the $6.7 million increase in inventory of DSV. Our gross margin for the third quarter was impacted by lower sales including lower aftermarket parts and accessory sales of DSV, as well as by restructuring items related to our move of Utilimaster to Bristol. The defense sales as well as Utilimaster’s aftermarket parts and accessories business carry above the average margins, so the absence of those revenues had an adverse impact on our gross margin on third quarter of 2012. The gross margin on a GAAP basis was 11.5% of sales compared to 17% in the third quarter of 2011. Adjusting for the 1.5 million in restructuring charges, our adjusted gross margin for the quarter was 12.9% of sales. Spending a moment on the restructuring charges; included in that amount was $900,000 in additional payment to the value of the buildings at Wakarusa. As you recall in Q1 we took the impairment charges of 4.3 million to write down the majority but not all the buildings to the net realizable value. The first impairment charge was taken based on our plan to move Reach and walk-in van production first, its truck body production remaining at Wakarusa for a period of time. The second charges taken this quarter earlier than anticipated because we received serious interest and an offer to purchase the entire Wakarusa campus requiring us to value the remaining building at level of cost-to-market. The third quarter charge reflects our estimates of the market value of these remaining buildings which is below the previous booked value. The remainder of the $1.5 million in restructuring charges for the quarter was related to the Bristol relocation project and the move of Reach production to Charlotte, Michigan as John described. Other items that reduced gross margin during the quarter, included reserve for approximately $300,000 on a HDSA recall to correct a missing door (inaudible) sensor and approximately 7200 walk-in vans and another approximate $300,000 related to some additional personnel and overhead expenses that were related to the additional expense of keeping both the Bristol and Wakarusa locations opened. These expenses combined with this third quarter 2012 net income per share by approximately another penny. Operating expenses declined both in dollars and as a percentage of sales in the third quarter of 2012 compared to the third quarter of 2011. Operating expenses for the third quarter totaled about $13.2 million or 11.7% of sales down from $15.2 million or 12.6% of sales a year ago. Reduction in operating expenses brought by the active efforts by management to control expenses, along with lower research and development and selling expenses in the most recent quarters. Tax expense for the third quarter of 2012 was a positive of $148,800, which included approximately $218,000 and an additional one-time tax liability. This incremental tax provision reduced our net income by approximately a penny per diluted share. The tax provision relates to a State Court decision that was rendered during the third quarter of 2012. This court decision affected a prior period tax position and created uncertainty regarding disposition. This in turn created a non-recurring discreet event that requires Spartan to recognize all of the potential tax liability in the third quarter of 2012. We note that this tax provision of all the prior period has no impact on current period or future tax liabilities. On a GAAP basis, Spartan posted a net loss of $0.3 million or $0.01 per diluted shares. Excluding the $1.6 million in restructuring items, Spartan posted adjusted net income of $0.7 million or positive $0.02 per diluted shares. Spartan’s balance sheet remains healthy at the end of the third quarter of 2012. Our cash balance of September 30 was $26.7 million down from $33.3 million at June 30, 2012. The reduction in cash was due to $13.3 million increasing inventory, slip between increases at our emergency response and Utilimaster operations, partially offset by an increasing accounts payable of $7.6 million. As John mentioned, both units encountered delays in shipping certain products during the quarter leading to the higher whipped inventory levels at quarter ending plans. Expected inventory levels to decline in the fourth quarter of 2012 as finished vehicles are shipped to customers. In fact, most if not all the vehicles that were held in inventory at December 30 due to parts raw material shortages or related delayed has since been shipped to customers. We invested $4.3 million in capital equipment during the quarter including $3.6 million for the facility of Bristol, Indiana. We believe the heavier investment phases for risk are now behind us although we do expect to purchase about $10 million of 2010 compliant diesel engines prior to the new diesel exhaust commission standards taking effect January 1, 2013. As we stated in prior quarters, we expect to use these 2010 spec engines in our chassis during the first few months of 2013 while we are engineering our chassis to accept the newer spec engines. We expect to convert this engine inventory back to cash during the first two quarters of 2013. With one quarter remaining in 2012, we expect revenue for the full year to be an increase in the mid-to-upper single digits from 2011 with an adjusted gross margin of 14% to 14.5% and adjusted operating expenses of 12% to 12.5% of sales. We currently expect revenue growth in 2013 to continue and be in the mid-single digits over 2012 and during 2013 we expect to make progress again towards our longer-term goals of 17% gross margin, 11% operating expenses and 6% operating income. Our expectations for the fourth quarter of 2012 and for the full year of 2013 are based on the continuing recovery and our emergency response and specialty vehicle markets delivering service is dependent on ongoing economic growth in North America and worldwide toward our customer capital spending plans. At present, we remain cautiously optimistic that the economic and operating environment will remain conducive to growth in sales and profit our September 30, 2012 order backlog of $168.3 million is up 18% from September 30, 2011 and gives us some confidence that demand for our products remain sufficiently healthy to support continued growth into 2013. Now, I would like to turn the call over to John Sztykiel who will make his closing remarks.
John Sztykiel: All right, Joe. Thank you very much. As you've heard this morning, Spartan faced a challenging comparison to the third quarter of 2011 largely due to a strong performance a year ago from our Utilimaster business group. Our results for the third quarter of 2012 demonstrate that the investments we have made in our businesses have paid-off, are paying dividends. First, our blended diversified growth strategy. So that one or more business can pick-up the slack when another segment faces a temporary slowdown or a difficult year-over-year comparison. In the most recent quarter, we saw evidence of this that the plan is working as our Emergency Response and Specialty Chassis Vehicle segments are becoming stronger and help to offset some of the decline in the Delivering Service segment. In addition to our blended diversified gross strategy, we continue to work to improve our operating efficiency so that we can drive growth and profit. We made significant progress on that front too as we move to another quarter closer to completing our move to Bristol and realizing $4 million per year in cost savings. The fourth quarter is a big quarter for us as we start the relocation of the walk-in van products of Utilimaster from Wakarusa to Bristol, Indiana; a distance of about 22 miles. This is a major undertaking. However, we successfully relocated the Reach product line this summer and expect a similar result with the Bristol move. Last, we also released our semi-annual dividend of $0.05 per share. This is 19 years in a row of regular dividend payments, something we take great pride in something that separates us from others. In conclusion, Spartan is a company with a plan, with momentum. We will continue to execute the plan to strengthen Spartan and to grow the company. We thank you for your interest in Spartan and look forward to your questions. Operator, we're now ready.
Operator: We will now begin the question-and-answer session. (Operator Instructions) And our first question comes from Joe Maxa of Dougherty & Company.
Joe Maxa - Dougherty & Company: I just wanted to clarify the $13 million increased inventory that shipped; you said that shipped in the fourth quarter?
Joe Nowicki: For the most part, primarily the bulk of the inventory increase was due to some whip product that we had at both Utilimaster and ERV, the bulk of it, not all of it Joe. And yes that’s all our Q4 shipment.
Joe Maxa - Dougherty & Company: And are those issues been resolved or are there potential that they come back in the coming quarter or two?
Joe Nowicki: No, so the issue has really stemmed back to early in the quarter. It was in the July or actually August timeframe when we had some of the delays with the chassis to us, the commercial chassis on the inbound side. So that just backed us up to the quarter and how the process goes when it comes down to recognize the revenue at the end of the quarter. On the emergency response side, there is the pre-delivery inspections that need to occur and the timing and all of that it’s very difficult to happen in the quarter. So we of course want to do it appropriate and in the right way for our customers. So we bring them in as to their schedule and that just delayed us out a little bit.
Joe Maxa - Dougherty & Company: And I wanted to ask just that’s one more and then jump off but on the order intake of your bookings, Q3 tends to be a seasonally slow quarter is that what we should expect kind of going forward now that you have had Utilimaster for a few years?
John Sztykiel: And Joe this is John, but typically on the delivery and service side, you are correct relative to that statement. On the emergency response side, I think that’s true as well. Okay, but I think what you saw for us from an emergency response perspective is we are gaining some market share on the RV side alike typically the third quarter is a light quarter as well as most of the people are out actually traveling in their RVs for lack of a better term resident buying them and so, typically what you will start to see as the order rate starts to pick up in Q4, Q1 and Q2 and typically the third quarter is probably one of our slowest quarters of each year.
Joe Maxa - Dougherty & Company: Hey, thanks guys.
Joe Nowicki: Hey, Joe. So this is Joe Nowicki, if you have other questions, you [are] free to pretty keep going I think we’re having a small queue today. I think there is a little bit of a delay due some of the weathers. So if there are the things feel free to jump in.
Joe Maxa - Dougherty & Company: Sir, you want me to go now?
Joe Nowicki: Feel free.
Joe Maxa - Dougherty & Company: Okay, so the move to risk, I was just wondering, if you are expecting any type of disruptions, the Reach move went well, but should we be thinking about or perhaps disruptions to affect the gross margin in the coming quarter?
Joe Nowicki: Yes, I will talk little bit about it, and then I will lead John jump in this well too. As John mentioned that’s a big move, a lot of product with it. We purposely have been able to successfully plan it around the slower time. As you know our volumes that the DSV business, Utilimaster are usually slower at the fourth quarter and also into the first quarter. So fortunately for us, as the volumes go down, we won’t have to push as much product through there, so we will be able to handle that move appropriately for the timing perspective. To your specific question on impacts to it, yes, you should expect that we have an impact on the margins in the fourth quarter a little bit but primarily in the first quarter, as we start some of this operation, we have all factored it into our plan accordingly but like anything you will see some incremental inefficiencies in the labor cost as we start this up.
Joe Maxa - Dougherty & Company: Okay, so few more impact on gross margin in the Q1 that we should factor into our models?
Joe Nowicki: Yes, sir.
John Sztykiel : And Joe, Joe Nowicki gave obviously an appropriate answer because what's important for us is while we are ramping down, the walk-in van production in Wakarusa, Indiana, we are very, very focused on delivering high quality product. I think if there is something which people have been amazed at is that when they look at Utilimaster and if you look at the growth over the past three years, its been in very, very good double-digits. So what we don't want to do is make the same mistake a lot of other companies mistake and that is they try to move things quickly. They try to rush everything through, focus for lack of a better term on number generation than shipped core quality product and then what happens is you have not only late shipments or I should say you will have on-time shipments, but what you will have six to nine months later is unhappy customers and then you will have gross margin erosion then because you are paying out higher customer service costs and higher warranty costs. So I think Joe’s comments is absolutely spot on, possibly a little bit in Q4, but the greatest opportunity from some gross margin reduction would be in Q1. But we are focused on getting that behind us and doing it right with high quality product, because this is a great opportunity to improve the operational performance of Utilimaster. I mean it’s a great product line that's been running in 16 buildings with basically buildings from 1977 on up and we are really bringing a company with tremendous growth prospect into a lean state-of-the-art manufacturing environment.
Joe Maxa - Dougherty & Company: Regarding the APA business at Utilimaster, obviously we were expecting a lower quarter and given the finish of the [Kia Century], but what are you seeing out there. There are some big projects. I think we talked about this a bit before, but and timing may not be certain. But the other big projects that can get you back up to that $20 million a quarter run rate.
John Sztykiel: This is John Sztykiel. I wouldn't say there's big projects in the eminent horizon. There is a number of small projects we are working on with really large named companies whether it be [Syntax], FedEx, UPS, etcetera earmarked and from a vehicle perspective. So I wouldn't expect what I would call a large homerun over the next 12 to 18 months. But I think what you will start to see is a greater opportunity, and what I would call slow but consistent growth as we develop the opportunities which are smaller but on a more consistent basis. So which will be more stable growth and probably more profitable growth. Remember this whole group has only been around for 12 to 18 months. So it’s not like they have been in business developing after-market parts field service solutions for the last three to five years. So it’s still a fairly new business, a fairly new group coming together, researching the 125,000 plus Utilimaster vehicles that are in service today. So while they have got a great future, I wouldn't anticipate any short term homeruns. But I would expect us to see growth on a consistent basis, as we look over the next 12, 18 and 24 months; because it really is a great business model. You take existing vehicles and you make them more efficient each and every day.
Joe Nowicki: To give you a few specifics Joe to think about that the singles that John described, and I don't know if being from Detroit areas we should use too many baseball analogies right now but, to John’s point we will keep hitting a lot of consistent singles as we go forward. And you know we've talked about the safe load system we have for being able to load and unload product. That's been taking off quite well. We've got them out a three points of safety system that we have [among] the trucks that's been taking out really well. A good portion of what we do in that business is also just standard kind of shelving, different types of shelving and racking on the inside. So that's been doing well and goes right with the volume of the vehicles and any other new opportunities to think about the Reach product. The Reach product will provide us additional opportunities for some new add-on as well in that vehicle. So there's a lot of good singles out there for this one.
Joe Maxa - Dougherty & Company: Just lastly for me on the acquisitions front, are you still contemplating adding acquisitions of potential larger companies like Utilimaster or is that kind of held-off given what’s going on in the economy?
John Sztykiel: Well, first, Joe and then I'll let Joe jump in as well. You know, the reason, we haven't moved forward on anything large or transforming it simply. We've got tremendous operational opportunity in moving from Wakarusa to Bristol. Okay, so in essence we're moving a $180 million plus company. So we're very focused on executing that. So that’s a core focus for us over the next three months to six months. Second, we're gaining lot of ground in the emergency response vehicle segment and third, we got the Reach commercial van. So for us, it's an organization. We're searching the market. We're analyzing, we're discussing, we're identifying the right strategic fits. But I would say, for the next three months to six months, we're very, very focused on operational improvement because there is so much opportunity to bring to the bottom line just by executing those three projects right. The Reach, Spartan Emergency Response Vehicles and the move from Wakarusa to Bristol. So, not going to make the same mistake in the past and that has created too many fronts, lose your focus then miss your execution point. We're going to be very, very focused but after that, absolutely as we see acquisitions a key part of our diversified growth strategy. Joe?
Joe Nowicki: I think that John’s comments are absolutely correct and they echo where we as a leadership team are heading us well too, as we know, we want to keep the focus on those operational projects we have in the short-term here. We’re still keeping our investigation work going on, looking for the right opportunity absolutely, and other Utilimaster like companies out there for us, absolutely, but right now we are keeping the focus on the operational performance part.
Operator: (Operator Instructions) Showing no further questions, I would like to turn the conference back over to Greg Salchow for any closing remarks.
John Sztykiel: This is John speaking and I really just wanted to say thanks. Obviously, we know what’s going to be a light call based upon something which not many people have seen within their lifetime, but just want to say as a company, we are focused on executing the plan, driving greater operating improvement in 2013, third, focused on two great brands Utilimaster and Spartan, diversifying our businesses appropriately and just driving market redefining product technology and innovation. We have got a clear plan ahead of us. We will execute that plan and we look forward to serving each and every Spartan Motors stakeholder not just today but tomorrow as well. Thank you very much and have a great day.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.